Operator: Greetings and welcome to the Halcon Resources Corporation First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen only mode. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jim Christmas, Chairman of the Board. Thank you, sir. You may begin.
Jim Christmas: Thank you. Good morning, and thanks for dialing in today. I'll just remind everybody that this conference call contains forward-looking statements. For a detailed description of our disclaimer, see our earnings release issued today and posted on our website. We've also updated our investor presentation, which you can access on our website. Just wanted to begin today briefly to give an update on where we are as it relates to our review of strategic and financial alternatives. As previously indicated, we've hired advisers to assist the Board in developing the optimum go-forward strategy for Halcón. Tudor Pickering and Holt and Perella Weinberg Partners were hired in late March to assist in these efforts. I'd say, we're about in the middle of the process right now and looking at a range of options, including M&A, asset sales and standalone financing alternatives. And we don't have anything specific to say today, we will provide further updates on this process as appropriate in the future. We've also engaged a search program in the process of looking for a new CEO. Finally, although we're obviously not pleased with share price and overall performance, we are encouraged with the progress our team has made in the field, specifically as it relates to handling H2S and getting back to drilling in Monument Draw, which is clearly our best area. We look forward to continuing to develop this acreage position throughout the remainder of 2019. With that, I'll turn the call over to Quentin who -- to provide some comments on the first quarter results and recent developments that are related to our senior credit facility. Quentin?
Quentin Hicks: Thanks, Jim. Production for the first quarter average just about 17,000 barrels of oil equivalent per day comprised of about 60% oil. We continue to be impacted by sour gas, handling and takeaway constraints and volume withdrawal during the quarter. These constraints include multiple days when we were curtailed on our ability to flow sour gas to third-party sales line in addition to more than a week of complete downtime at one of our primary third-party sour gas outlets. As we are unable to pay our sour gas, these curtailments and outages resulted in shut in oil and gas production for many days during the first quarter. We expect fewer issues in relation to third-party sour gas outlets going forward now that our Halcon owned H2S treating plant is operational. In fact, after putting our treating plant into operation, we're able to perform well in online and Monument Draw here in the last month resulting in current net production in excess of 20,000 Boe a day. John will provide more color on our new treating plant and other operational developments in a moment. Our first quarter realized oil differential of 90% NYMEX has improved from the 83% differential seen in the fourth quarter given improved midland pricing during the quarter. Our first quarter natural gas differential came in at 25% of NYMEX, which was driven by weak Waha pricing in the quarter. Our NGL differential for the first quarter was 31%. Our adjusted operating expenses, including LOE workover and GTO, were elevated in the first quarter for multiple reasons. First, on the LOE side, our water-disposal costs across of field were higher than previous years because this was the first full quarter where we paid the $0.80 per barrel contract to disposal rate for produced water-to-water bridge under the terms of that agreement. Recurring GTO was higher versus prior quarters, primarily because of extra contract personnel working in mine withdrawals, assisting running our operations with the new infrastructure being put in place. G&A expense as adjusted totaled $9.2 million in the first quarter versus $8 million in the fourth quarter. The increase in G&A versus fourth quarter was primarily driven by a $1.6 million credit we booked in the fourth quarter related to a positive legal settlement in that quarter. After adjusting for this settlement, the first quarter adjusted G&A rate was actually a little less than it was in the fourth quarter of 2018. Similar to the fourth quarter, we had a significant amount of non-recurring expense in the first quarter primarily related to well-level chemical treating of H2S and Monument Draw. With the operation of our new treating plant, we expect these non-recurring costs to go away in the second quarter. With respect to D&C CapEx, we incurred approximately $72 million during the first quarter. We spent another $29 million in the first quarter on infrastructure, seismic and other, with the majority of this spend related to the continued buildout of our sour gas handling and treating facilities in Monument Draw. We expect both D&C CapEx and infrastructure CapEx to decline materially over the remainder of 2019. We recently completed an amendment to the borrowing base redetermination with our senior revolving credit lenders, which resulted in our borrowing base being reduced to $225 million. Although our reserve profile was adjusted by a higher borrowing base, our senior lenders are not comfortable with our current elevated leverage situation, and therefore, decided to reduce their commitment to us. We do believe that $225 million borrowing base will provide us with significant liquidity until we complete our further process we are undergoing with our advisors. We are also considering the firm completion annual dropping the rate in the near term to maximize liquidity as we go through this process. We can do this without any significant break in stock as both of our rig contracts are well to well right now. We are not yet revising our capital for production guidance for the year as we have not made a final decision to drop rigs. I would note that if we do pursue a new financing structure that provides more liquidity and flexibility than our revolver does, we should be allowed to continue with the two-rig program for the rest of the year. With that, I will turn the call over to Jon for comments.
Jon Wright: Thanks, Quentin. As Quentin indicated, we are pleased to have our Halcón redox H2S plant online in Monument Draw. We commissioned the first train of this facility the first week of April and the second train went operational in the third week of April. The plant is currently treating approximately 11 million cubic feet of gas, with average H2S concentrations of approximately 30,000 to 40,000 ppm. The treating costs were down after these levels is roughly $2.50 per MCf. The capacity at the plant at these concentrations of H2S is in the range of 14 million to 15 million cubic feet per day. The treating capacity of this plant in addition to the arrangements we have with third-party sour gas sales outlets, provides us with ample treating capacity for more than a year with fewer rigs running in Monument Draw. On a related note, we continue to pursue an acid gas injection well in Monument Draw, which would materially reduce the treating cost of gas, while at the same time significantly increase our treating capacity. We hope to have our permit approved for this AGI well in the third quarter of 2019, with the AGI well becoming operational in the 2020, if approved. We have bought four new Wolfcamp wells online in Monument Draw over the last month or so, given our increased treating capacity here. Two of these wells were 5,000 foot laterals, which had an average 30-day peak IP rate of 1,002 Boe per day at 83% oil. The other two wells were brought online more recently and have not yet reached peak IP rates. These wells are currently averaging over 1,000 barrels per day equivalent at 82% oil. All four of these wells early time production rates are in excess of our type curves. In addition, we have returned the Sealy Ranch 7506 well to production this past weekend. This well was shut-in in early October of 2018, given elevated levels of H2S in the gas stream. This well was cleaning up and looked to be a very good producer before it was shut-in. With our additional H2S handling capacity now operational, we have all 18 horizontal wells online in Monument Draw. In West Quito Draw, we have 5 more 2000 foot lateral Wolfcamp wells come online since the beginning of the year. In addition, the first two wells reported as a part of our year-end earnings release. Overall, oil cuts on these wells have averaged around 35%, which is below our expectations. Given the weak gas pricing we are seeing in the basin, we have elected to pause drilling in the southern area of West Quito Draw in the near term. We currently have both of rigs working in Monument Draw and plan to return the rigs to the northern area of West Quito Draw in early 2020, where we expect the wells to have a much higher oil cut than we have seen in the Southern area. That is all I have for today. I'll turn the call back over to Quentin for closing remarks
Quentin Hicks: Thanks, everyone, for your interest and feel free to reach out to us with any questions you may have. Thank you.
End of Q&A: Ladies and gentlemen, this does conclude today's teleconference. Please disconnect your lines at this time. Thank you for your participation, and have a wonderful day.